Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Merit Medical Systems Incorporated Third Quarter 2013 Earnings Conference Call. During today's presentation all parties will be in a listen-only mode. Following the presentation the conference will be opened for questions. (Operator Instructions) I would now like to turn the conference over Fred Lampropoulos, Chairman and CEO of Merit Medical Systems. Please go ahead, sir.
Fred Lampropoulos: Good afternoon, ladies and gentlemen. Thank you for joining us today we are delighted to be with you out in beautiful Salt Lake City with the temperature about 60 degrees and blue skies and so we thank you for taking the time. We are assembled in our conference area with members of our general staff and a special guest, our Country Manager from Brazil, Christian Tamagnini, who is here with us today. And Christian thank you for joining us from all the way from Sao Paulo. So we are delighted to have you here today. We will turn some time over to our General Counsel who will pronounce our Safe Harbor provision, Rashelle Perry.
Rashelle Perry: Thank you, Fred. During our discussion today, reference may be made to projections, anticipated events or other information which is not purely historical. Please be aware that statements made in this call which are not historical may be considered forward-looking statements. We caution you that all forward-looking statements involve risks, unanticipated events, and uncertainties that could cause our actual results to differ materially from those anticipated in such statements. Many of these risks are discussed in our Annual Report on Form 10-K and other reports and filings with the SEC available on our website. Any forward-looking statements made in this call, are made only as of today's date and we do not assume any obligation to update such statements. Although Merit's financial statements are prepared in accordance with accounting principles which are generally accepted in United States, GAAP, Merit's management believes that certain non-GAAP financial measures provide investors with useful information regarding the underlying business trends and performance of Merit's ongoing operations and can be useful for period-over-period comparisons of such operations. The table included in our release, which will be discussed on this call, sets forth supplemental financial data and corresponding reconciliations to GAAP financial statements. Investors should consider these non-GAAP measures in addition to, not as a substitute for, financial reporting measures prepared in accordance with GAAP. These non-GAAP financial measures exclude some items that affect net income. Finally, these calculations may not be comparable with similarly titled measures of other companies.
Fred Lampropoulos: Anything else?
Rashelle Perry: That’s it.
Fred Lampropoulos: Okay. Thank you very much. Well, ladies and gentlemen again we are thankful for your interest in the company and what do I say. We have I think arguably one of the best quarters in company history. Our sales were up 20%. Our core business was up around 11.2% and we add in the time that is taken for our sales force who are converting some of the OEM business in our Thomas product to direct if we added those back in, we would add almost another $1 million to core. And so its even better than it appears there. Our business segments and I think listen, I don’t want to say that while I guess, I can’t say that we are surprised to the extent that every single business segment, every product line improves sequentially and we did this and what is our arguably a seasonal quarter. And so I think I should give you some explanation to why we think as we look now back because we had guided down as you will recall between 5% and 7% which we will traditionally do in this third quarter because of the breaks in Europe and other locations, people vacation, physicians are gone, sales people are gone that being said, the numbers came in. And I think it speaks a lot to our strategies and the attention and focus that we put on the business that we all recall that first quarter. It was one of the most unpleasant calls I ever had to make and this is one of the most pleasant that recognize that as soon we finish today we have to start and we have already started on what we are going to need to do to make sure that we can continue to move the company forward. So if we look at our leadership, I think in the first of the year, we had some changes in the responsibility in Europe and I think that in our group numbers in terms of sales both in dealers and direct they are outstanding numbers. They were all in the 20% plus increase in Europe in direct and in dealers in a summer quarter and I think I would argue I think very effectively that that is an extraordinary effort. We take a look at our worldwide dealers, we performed well there. If we take a look at our sensor company, if we take a look in our coatings company, if we take a look in our OEM, just across the board every segment performed in all of the various branches and facilities from Melbourne to Richmond to Galway to Paris and others, Houston, Angleton facility. So that I think is the leadership in the drive of the leadership team. I think in terms of products and strategy and I think that’s something that is very noteworthy, it wasn’t one product that drove this, it was essentially all of the product segments. So I think that’s another thing that we hope that you will pay some attention to and consider and that is, whether they be inflation devices which are still the slowest group but improved sequentially to our kits, to our standalone devices to Endotek which was closer to double digit growth and its been slow for most of the year. All of these businesses and segments performed I think extraordinarily well. This is all going on while operationally we are now just starting to get used to our skin so to speak in terms of the new facilities. And I think the good news is that in terms of efficiencies in the business, we are focusing a tremendous amount of effort in new automated systems which will eliminate paper work. And to give an example of one of those, so you can see that the impact that this effort will have which will take months and years. This isn’t something that that will be done next quarter. This is something that will take as I point out in my comments all of 2014 and 2015, its an ongoing effort. But giving an example of a situation, a work order that will come out of our new automated system can be on the floor essentially within 15 to 20 minute versus in the past, it could take 4 to 5 hours. Now that is to assemble all the parts to get the paper work in place and get it assembled for production. And I think you would all agree that when you can do that you can move inventory faster, we can produce the things to meet our customer needs and that acceleration also takes a lot of cost out. So that is just one example of the opportunities that we will have and we have a lot of work to do on that part of it. So I think operationally I think we are coming along but in terms of where we are -- we are at 15% or so of where we could be. I mean there is 85% out there of things that we can do to, to get to our goals. In that 85% of additional things that we need to do literally means 10s of millions of dollars in gross margin opportunities. In terms of gross margins, I think we were up, I think 140 basis points last quarter, 150 basis points this quarter. And its even more significant than that when we take and reallocate the cost that were in SG&A for the facilities. So as we are starting this up, the cost for an SG&A now in the third quarter, a good portion of those costs are in the cost of goods and that would have been about another 30 basis points or something like that. So even though we did a 150, we actually even did better than that. And so I think from that point of view we get a very nice job. On the SG&A side, I’m going to let Kent explain a few things to you there in just a moment. But, I think even there Merit has cut back in a lot of things in terms of discretionary expenses, trade shows we have downsized, our managers across the board or holding the line and so we are getting some leverage on the SG&A line and the R&D line. So Kent there a couple of a little unique, I think entry so to speak that that I think you might want to address on this area. So you just want to kind of bring in?
Kent Stanger: For general, I mean SG&A cost, we have just done a good job, combination of higher sales and lower cost. If you look sequentially they are actually down which is unusual from a second quarter, third quarter in actual dollars. So when you are able to reduce your total SG&A costs, while your sales grow at 20% you are obviously going to get leverage there. We got 150 basis points of improvement sequentially. And then when you move down to R&D, we got another 160 or so there. That’s been helped. There was a $900,000 adjustment that came or benefit, I will call it from the Irish government that was classified by accounting rules to a reimbursement reduction of R&D expenses. But, even without that we would have been a 7.2% which was down 70 bps. So its we were improving in the quarter, leverages in R&D as well as the benefits from the Irish government helped even more.
Fred Lampropoulos: Thanks very much Kent for that kind of that weigh in there. Some other interesting points that why we were growing this level, we are still able to reduce our inventories by $0.5 million in the quarter
Kent Stanger: $3.5 million [ph] for the year.
Fred Lampropoulos: Yes, over $3 million for the year. Our inventory turns are improving and just a general comment in terms of cash flow and things like that, Kent shouted at me, I think a couple of days ago that we are about $10 million ahead of where we thought we would be. So in terms of our expenditures and cash, we are doing much better there. And I just want to also I think it’s important to note the confidence that Wells Fargo bank has entrusted us with and they have been very, very helpful and in terms of supporting, I think our efforts. We also have integrated the Safeguard business that we bought from Datascope and I will say that it was absolutely seamless. I think our folks both in terms of our due diligence in terms of our taking orders we didn’t miss a beat. And so we are going to be showing that product and introducing it. It was a Merit product down at the TCT next week. And we are very excited about the opportunities there. The RAD BOARD from Radial Assist that we are actually selling these things, we haven’t actually officially launched it. But, we are selling them faster than we can make them. And when you take a look at this Radial strategy and I hope I get some questions on it in terms of both the prep, the excess, the delivery and the closure it’s a – I think a strategy that we put together. And I know some of you were a little nervous about this acquisition. But, I think that as you see it, some of you can visit with the TCT and you see the results of what happened here as we go forward. It’s an extraordinary opportunity to have a platform and a program that really we have I think very, very distinct advantages over any of our competitors. And what is arguably the fastest growing segment of the cardiology market in the United States and great opportunities in world market. So we are very excited about that opportunity. So I think we feel comfortable with our business in terms of the new products that are coming, we have got a full pipeline. And I think that spells great news going forward whether it would be the new hydro fill-in sheet, it goes right along with these other two acquisitions and exciting Merit products to finish that or the new ASAP LP, the ConcierGE, the PHD, some of the products now that came out of Thomas the Worley Systems, we have now Meritized[ph] those are going into our direct bag. Before those products were only being sold on a limited basis and so as we look at all of the products again the basic touch, the new short sheath cross catheter. I mean we just loaded. And then we have again a lot of other products come down. So I think we have the right products, we have the right margins, we are in the right place to market share and someone mentioned to me the other day, the PCI levels in the U.S. were down about 5% and over the international market is down 1 or 2. This came from one of the larger company’s and an analyst shared that with me. If that’s true then we are taking market share. And then you get these other growth markets like the radio products and it adds I think a lot of excitement to our sales force and a lot of opportunity for the company. So we of course never change guidance, we just don’t do it as a matter of policy, I think some people were concerned as we came through and approach the third quarter where we had guided down whether we were going to be able to hit those revenue numbers. And I think clearly as we look at those numbers that we will be well within the range and we are already at $0.49 for this quarter on the non-GAAP side. So we only have to make a penny more to be able to get on the bottom side of the range and clarity will do better than that. So, we will have a forecast for you early next year. But there is a lot momentum both on the operational side of a business, I think we are controlling our expenses and I think our sales, operations and our leadership and all for our facilities and our business segments worldwide are doing a good job. I’m pleased with the work that my staff are doing, they are all sitting here and so I complimented them before the meeting. Again, as I mentioned earlier if you looked at that first quarter it was a terrible quarter but we did the things we needed to do. We have given the focus and I want to make sure everybody understands. It’s all about focus. It’s all about, I know everyone have a quarter like that, I know everyone been in a position like that, I’m going to pay this debt down. We are going to all work to increase gross margins get better leverage in the business and deliver the result that all of you have so patiently worked for. So please understand the resolve. And the commitment and the focus that we all have in this room is able to deliver these results. This is just a first what we hold for many reports that would be pleasing to you and we will do the things that we have committed to do and things we have said that we would do as we embark on these initiatives and this folks. Kent, I’m going to let you add some things in here.
Kent Stanger: Thank you. Yes. Couple of highlights I would like to focus on, one is that I was pleased to evaluate our non-GAAP income exceeded $10.5 million which is a record for us all time. Another I think highlight was the tax rate, its unusually low, I wanted to explain a little bit of that. First of all, we are seeing a shift of the income ratios were our international business is particularly in Ireland are making a bigger percentage of our total income so that that’s part of our strategy long-term, we have been building that opportunity there. In addition to that we had some unusual or had been paying this tax advantages in Ireland, I explained some of those already, we have also catch up this year in our R&D credits in the U.S. All that led to almost just under 13% tax rate for the quarter and 14% for the year-to-date. Some of those are unusual for this quarter, particularly when you look at the Fin48 adjustments that normally come this time of the year – of our years in the third quarter and they are loaded in there too. So you will see the fourth quarter have bounced up a little bit, but its nice to – you know I have to pay so much tax particularly I have to pay Obama’s tax. And another interesting thing is just how the – we have been able to adjust our debt structure so that we have capacity. We have an estimated $22 million of room right now in our line. We added 40 million to do this deal and that now we are able to march forward work our balance down and our EBITDA ratios are going to come. I’ve got capacity and they are going to march down as we make more money with both these acquisitions as well as our operation.
Fred Lampropoulos: And other thing is our CapEx of course after subtleties and that sort of thing would be reducing in terms of our EBITDA has been moved forward. It will help to reduce this debt rather dramatically as we move forward and that’s important to us out here. I just have one other thing maybe a few other comments but I’m looking in the room and I noticed that I have Kent Stanger here and Darla Gill and I have Bill Padilla. These are my three partners and Arlin Nelson, these were the folks that started this business with me 26 years ago and I just want to thank all of you guys for your years of service and its always nice to have you all in the room together so thank you for being here. Guys, there it is, there is a lot stuff here and one final comment on the tax strategy, often times I think taxes and tax strategy are dismissed as being something to just kind of floats through and is subject to the ebbs and flows. The reality of it is, we developed a tax strategy and a business strategy that allowed us to be in international markets. Part of this tax strategies are coming because of the facilities and the businesses that we have there. So these things are not coming by accident. And I think as Kent pointed out, when you are talking about rates in the U.S. is very high rates and we take a look at the growth opportunities in international markets which Merit is well-positioned, which is one of the reasons why I’m delighted to have Christian here. We spent several hours today and yesterday talking about our strategies in Brazil, country with 200 million people. And a market that we should be doing 10s of millions of dollars of business maybe up to $100 million in five years. These are strategies, they are investments that we have made a long-time ago and now the opportunities and the approved support labors will come forward. So some people like I said, I get sensitive to the dismissal of the strategies is one-time deals. And we would expect that our tax rate although they may not always be at these lower rates because of this one time expense that we will have tax rate that is part of our strategy which gives us an overall return in earnings per share and returns to our shareholders. So those are things that work on them we think about and we have been thinking about them for 26 years, so they go back a long way. So in summary, business is good. Business I believe will get better and if we continue to focus on the issues at hand and most of that is consolidation. Most of that is work that needs to do to improve our efficiency in our operations. Expenses will come out and we approach that long sort have to go but I have 50% gross margins. It’s not here, this year or next but its there and its obtainable even with the tax. So what has to do with mix and the products, and training all the things but its there and that is really came out of the – not the numbers are put in the top-line but that gross margin is the one that most focused while maintaining the expenses below and I think I got my guys take a good care of that. So Kent, you have a one last comment, then we will turn it over for questions.
Kent Stanger: Well, I’m just excited about the growth in all the segments of our business really and the leverage we are getting out of it and that’s going to really help also on the cash flow as we look forward.
Fred Lampropoulos: Okay. Well, I think that kind of wraps it up. I’m going to be getting on a airplane here and just a few minutes far on this call. But Kent will be here available, call us we would be delighted now to open it up to questions that you have and we will do our best to go ahead and answer those for you. Operator?
Operator: Thank you, sir. We will now begin the question-and-answer session. (Operator Instructions) Our first question comes from the line of Tom Gunderson with Piper Jaffray. Please go ahead.
Tom Gunderson - Piper Jaffray: Hi, guys.
Fred Lampropoulos: Hi, Tom.
Tom Gunderson - Piper Jaffray: Feels pretty good doesn’t it.
Fred Lampropoulos: Yes. It does thank you.
Tom Gunderson - Piper Jaffray: So Fred, one of your closing remarks was gross margin remains one of your number one focus going forward and you have said in the past, 60 basis points of improvement per quarter for the next six quarters and you kind of blew by that in the first two quarters should we still assume that’s a reasonable goal sequentially or did you raise ahead so far that you kind of got to the destination earlier than expected?
Fred Lampropoulos: Well, it’s a very, very good question. And I was hoping you, you wouldn’t ask but I think we have to look at some other things here that we will be facing. We are going to be looking at health insurance increase additional $500,000 worth of employer’s contribution to ObamaCare, in addition to the tax in our renewal there. We as you all know, we took of our 401k match and we are going to put that back. And so there is going to be something there that we think are fair and equitable to our employees. And so Tom, we said that we do 60 over the next six quarters that’s 360, we delivered 290 and but we will have some those additional expenses that hit us. And then we have the Pyramid building that will be up and running in the first of the year. So we have some of those things coming and they are going to offset some of the gain. But that being said, we expect substantial efficiencies in our Pyramid building. I remember we are in a building that’s almost 60 years old and kind of very inefficient. And we have these high margin products. And we have these efficiencies and I hope you can get out here sometime Tom to see these things that we are working on. Literally that point that will take out 10s of millions of dollars – millions of dollars of costs. And some other opportunities for consolidation. Moving and consolidating saves us and it has saved us and will save us a lot of money. So that’s a lot of talk. So what I’m saying they are expenses and they are opportunities. But I think just as a matter of policy, we are working on our forecast and our budgets for next year. It will be really candidly irresponsible for me to up these things but we are well aware that we have done very well here. And we will also get some contributions from these new products. There would be almost 60 basis point plus everything also we have coming is all sitting there at 60% and 70% gross margins. So our ability to have that mix change and be able to effect gross margins. Those are the things that – those are the winds to our back with some I would call them breezes in the face. So that’s the best way I can answer your question.
Tom Gunderson - Piper Jaffray: Okay. Thanks. Good color. Kent, you said on the tax rate for Q4 at least bounce up a little bit. Can you hone in on that a little for us to give us a sense, is it 15%, 20% where would you put these all in?
Kent Stanger: It will be in – it will be closer to 20, about 20 somewhere in there, without the one-time for the annual issues that happened in the third quarter for us both in Ireland and here in the U.S. somewhere in below 20s [indiscernible].
Tom Gunderson - Piper Jaffray: Okay. And should we look at that same kind of low 20s or maybe a little higher for 2014?
Kent Stanger: It’s likely to be a little higher because some of the unusual event this year, we will come out, as Fred just said we will come out and give you better guidance when we have it formulated because what really matters for that is the mix of process between the what’s in the U.S. and what’s in Ireland for example so once those budgets come in, we can – you can have quite a swing depending on what those ratios are.
Fred Lampropoulos: Tom, we do have some products that are in the 80% gross margin range that are unique to Europe, that we will be selling, they will be introducing in February. And some of those products along with the basic touch and some of those sorts of things can have a pretty dramatic affect on gross margins and profitability over there which our tax impacted those lower rates. So again, we are going to glad and massage this as – in terms of revenues and expenses and this sort of thing. But the tax strategy is one that its not something that is passive, its very active here and are thinking in our planning and there were some other opportunities for us there. So I mean I will step with Kent comments and just simply help the world do better than what then we think right now through the deployment of very strategies and sales in Europe and our focus there. We are expanding in Turkey going direct there. There is a lot of other opportunities that we help us so.
Tom Gunderson - Piper Jaffray: Good, thanks. And then one last question and that is for Q4, I understand you are not changing the annual guidance and I can do that math since we have got three quarters under our belt but we also had an unusual Q3, you started up by saying that. Summer is not supposed to be where it shines. Summer is supposed to be where everybody goes on vacation and we adjust for that. And you blew right by that so congratulations on that. But now that you have upset the norm, I still have to believe that Q4 will be your strongest quarter both on the top and bottom line, is there anything wrong with that assumption?
Fred Lampropoulos: I would say if you look at the business historically that’s been the case. And we hope you are right. Again, I didn’t expect the third quarter but I will say that there is a wind to our back and just slight breezes on the note. So best way for me to answer that we have a lot of momentum.
Tom Gunderson - Piper Jaffray: Okay. Thanks. Okay, back in queue guys.
Fred Lampropoulos: Thanks.
Operator: Thank you. And our next question comes from the line of Chris Cooley with Stephens Incorporated. Please go ahead.
Chris Cooley - Stephens Incorporated: Hello.
Fred Lampropoulos: Hey, Chris how are you?
Chris Cooley - Stephens Incorporated: Hey, congratulations on a great quarter. Let me just follow up on Tom’s last kind of line of question there, phenomenal third quarter and I guess, a two-prong question, first, part was of last night was pretty strong results as well, can you tell us if you saw anything in the quarter in general in terms of a pick up either from volumes, ordering patterns just anything that was different towards the latter part that gives you confidence not only what happened in the 3Q being able to accelerate into the 4Q? And then the second aspect of the question as we think about guidance, understand that historically you maintain that but you guys also made very nice acquisition there both with Safeguard and Radial Assist. And I have to assume that contributes now during the fourth quarter you mentioned it was fully integrated. Could you maybe just give us some additional color there about the puts and takes on what that adds to the both top line and through the cost structure as we think about our model for the fourth quarter? Thanks.
Fred Lampropoulos: Let me go back to the question about any trends or things, as I opened the call, the thing that I discussed is that we saw all product groups that we report and all business segments. I think that is really an extraordinary event and again, I have to put it back to the leadership and the efforts that everybody gave and the efforts of our sales force. I mean, we saw from sensors to our coding company to all the various product lines across the board worldwide. And candidly I suppose its surprising part of it was the really strong growth in the international markets both worldwide dealers which for us is Central South America and the Pacific Rim was up at almost 20% and we did even better when we take a look at Europe where both our direct and our dealers did very, very well. So I think as the product mix, I think it is a lot of things that we have done in our strategy. I think one of things Chris that we are doing a better job of here and something we are thinking of is more that a product we are looking at platforms and programs. And I’m not talking about bundling necessarily, I’m talking about something where we have groups of products that go in and is programmed which will lead in segue way right into the next issue. I know some folks were concerned about this acquisition, it wasn’t one that we were looking for. But when it came to me, I immediately recognized it. I saw what it could mean particularly with the work that we are already doing and the momentum that we are already seeing the Radial market. If we look at the Radial market in the United States, we have seen now for several years that our Radial Assist have been growing at 60% or 70% and as you know Radial procedures have come from 3% to 16% and some will say that it’s a 20. But the reality of it is going to 50 or 60 over the next five or six years. And so we already had products in that area. Then both on the prep side, I’m talking about the board which we have an 80% gross margin and we have a disposable that goes with it. And other products that were being developed in that area. You take that then you take the closure part. Now, the interesting thing about the closure business, as you know that was about $7 million worth of revenue in this product, in the existing Safeguard. And the thing that we were excited about and some people were concerned about the price we paid. But, I don’t think what was understood and we tried to and it gives me an opportunity to kind of [ph] breeze to restate this. But the what we call, the AIR-BAND or the Safeguard Radial product that is the closure device used for Radial procedures was a product that have FDA approval and the CE Mark. We personally went out and conducted 30 cases – live cases and became convinced that this was a product that was better than the competitors. And we are talking about – when we talk about competitors we are already talking about Thermo which is a terrific company. But our customers are telling us potential customers they liked our product better. We take that product which essentially was not launched and but it’s ready to go, we have inventory. And we will introduce this product down at the TCT Meeting. More importantly however, remember we’ve own this now for 10 days, not 10 months, 10 days. But we have already done a lot of work that was seamless in terms of the transition, inventory customer service and customers ordering, that was absolutely done to perfection. But, now we are training this week, our clinical staff we will then start training our sales staff and we will release this product and put this strategy together. And I think you will see momentum on this side, this will become probably a reporting unit because the revenues and the opportunity is so significant as we go forward, not just in the U.S. But remember places like Scandinavia, France, Japan and other place some of these areas are as much as in 60% or 70% Radial. But then there is all the other stuff the goes with it. There is the guide catheters, there is whole bunch of products and we have physicians clamoring for someone to listen to them to develop products that are essentially shaped and different types of things to deliver. We’re also seeing things like the liver embolization and other types of procedures which were being done through the radial artery. So this is a tremendous area of growth and one that now Merit is well-positioned and is focusing new product ideas and development to support that. And as I mentioned initially, this could mean up to a $100 million in revenue to Merit over the next five years or so annually. So that’s the best way I can have in terms of gross margin, it will add about 60 bps, that’s on a non-GAAP basis, is that correct, Kent? And about $0.03 on a non-GAAP basis. However, it wouldn’t surprise me a bit if we opted that and I will say that I have the absolute optimism on that product. And then when you sell more inflation devices, you sell more fluid administration, you sell more kits more trace. These are just some of the tools for the procedure but everything else goes with it and I think that gives us a tremendous advantage across the board to drive growth. Kent, do you want to comment?
Kent Stanger: Just to support and clarify that the 3.10 estimate is basically for 2014, it’s an annual number but it also includes or taken out or reduce that number by loading up all the interest expense added for the new deal on this loan.
Fred Lampropoulos: So, it’s essentially fully burden.
Kent Stanger: Fully burden with the interest in prior loan balance, not just $27 million.
Fred Lampropoulos: Isn’t he a wonderful guy? [indiscernible] like one little kid. He kind of – Kent is kind of a boy.
Chris Cooley - Stephens Incorporated: Okay. You got to watch him, you got to watch him first.
Fred Lampropoulos: Yes. I accept when you say that Chris because most people say he has to watch me. So I appreciate you turning the tables.
Chris Cooley - Stephens Incorporated: If I could squeeze one more in here just very quickly just from a housekeeping standpoint. I apologize I missed this. Did you give us the U.S. and the international split just in terms of total revenue growth earlier? And then, I’ll be back in queue . Thank.
Fred Lampropoulos: Yes. I have it right here, go ahead Kent, let you – the split is 37%.
Kent Stanger: 53% as far as the split.
Fred Lampropoulos: Okay.
Kent Stanger: And 63:37 but and if you’re talking about growth rates, domestic was actually -- which includes of course the Melbourne business, which is mostly it’s 21% on the -- it’s part of OEM and everything and international was up 18% overall, is that what you want?
Chris Cooley - Stephens Incorporated: That’s great. Thank you so much Kent.
Fred Lampropoulos: Yes.
Kent Stanger: Okay.
Operator: Thank you. And our next question comes from the line of Jayson Bedford from Raymond James. Please go head.
Jayson Bedford – Raymond James: Hi, good afternoon guys, thanks for taking the questions. Just a couple, on the spending rates going forward, just on R&D, the first half of the year seemed abnormally high. 3Q what’s called 7% was similar to 2012 levels what’s the right target or range going forward and have you kind of reprioritized R&D now with an acquisition which I would assume lessens the pressure on R&D?
Fred Lampropoulos: Well, I don’t think it lessens the pressure on R&D at all. In fact, if anything I think where it does, we may redirect those as I pointed out to additional products, higher margins to support the acquisitions. But I don’t think it lessens it. I think our goal Jayson and I appreciate you asking this question, it’s still that have that SG&A in the 27% range and the R&D in about 7% and then with our gross margins continuing to improve. I think that’s what where our goals, we have not changed those goals. And then again, I think the real key to driving the business is that we will get some leverage but the big one is that those gross margins on the top line, I think would be acquisitions and the new products that we have, they all have well above I mean well above some of them in this 70%, 80% gross margin range at the new products that Merit has developed. And I think those would continue as they roll out. One of those by the way is this new PreludeEASE, it is a hydrophilic sheath that is preferred by many physicians doing radial procedures and again you add that to an already existing sheath business that we have. And I think we’re looking at $5 million plus its first 12 months and probably $10 million in that one product line in the second year. So when you add those kinds of products on here with this strategy in these platforms and programs we’re talking about Jayson, I think it gives us a reason to be quite optimistic about some of these business segments.
Jayson Bedford – Raymond James: Okay. The new facility, was it a drag on gross margin as production ramps there or and I guess the question more is, do you still expect to get additional leverage on that facility going forward?
Fred Lampropoulos: Yes. It’s a good question. As I mentioned in my previous – earlier comments, the first two quarters basically had the cost of the building in the SG&A as we were bringing it online. In the third quarter, that particular expense is now in the gross margin line and still allowed us to be able to deliver the 150. To answer your question, there is substantial capacity here that is going to allow us to leverage the business going forward and get more gross margin dollars out of the facilities that we have in place, that’s – and I think by the way some people were kind of scolding me about billings in this [ph] math. But I think everybody in this room that looks at some of that performance and some of the things we’re doing our things because we have some space and things that we can do that we didn’t have before. We were literally loading things up in a truck just to get them out of the areas because we have no room and driving them so inefficient. So I think there is a lot of leverage left. And it’s not just in the facilities and their space, although that’s a big part of it. We have for instance in Clean Room 1 here and 2 where we first started in the main building. We are probably only a 25% or so capacity right now that means we can bring a lot in that means that we will have better absorption going forward and essentially lower unit cost and higher gross margin. So there is a lot of opportunity there. And as we try to do as we built the business, we try to think out five years. And so we really don’t have a need as we see it today for any facilities or additional cost scenario for at least five years. So that gives us a lot of opportunity and I think it adds to the discussion I had about moving that gross margins up towards that 50% as we get better absorption over time.
Jayson Bedford – Raymond James: Okay. That’s helpful. Maybe just the last one from me. You mentioned the international growth, I think it’s up 18%. Can you just comment on growth in China and maybe some other emerging markets?
Fred Lampropoulos: Yes, we can, Kent.
Kent Stanger: China Direct was particularly is our star and the whole group is up 55% for this quarter over a year ago quarter and 37% year-to-date. And when you combine with the distributor it’s still 24% for the quarter.
Fred Lampropoulos: Let me add some color to that Jason as you recall from some earlier comments that we had made, one of the great surprises in China has been the uptake of our embolics. We expect to get clearance on our HepaSphere product in China in the next 30 days or so. So I think one of the great opportunities of these embolics particularly in a market where it’s the highest incidence of HCC in the world. And if its anything like the Embosphere product these things carry 80% and 90% gross margin. So that’s another thing. And then what that drives microcatheters, it drives Access products. So we’re very excited about those opportunities and Radial is also an emerging opportunity. Now we are a little ways out on that because there are some registrations but we are selling our existing Radial sheets and catheters already in China. So we expect China to continue to be a star for us for sometime to come.
Jayson Bedford – Raymond James: Okay, thanks. I’ll get back in queue, nice quarter.
Fred Lampropoulos: Thanks, thanks so much, Jason. Hey, just – Jason I know you are back in queue, but I guess you will be watching the television tonight, it’s 7:30 Eastern [indiscernible] and I don’t want to rub at it or anything, but I just hope that’s in your comments. I like when they can’t talk back, it’s a perfect thing. We’ll go and take the next caller please.
Operator:
Jim Sidoti - Sidoti & Company: Good morning Fred or good afternoon Fred.
Fred Lampropoulos: Hey how are you, Jim?
Jim Sidoti - Sidoti & Company: Good, good. I heard its pretty chilly in Boston so you better wear a coat.
Fred Lampropoulos: I’ve got one in the car.
Jim Sidoti - Sidoti & Company: Can you give us some color on the one-time charges, I assume the goodwill is related to Thomas, what was the contingent income?
Fred Lampropoulos: Yes. We bought a product, I’m going to let Kent handle that and guys I hate to leave but I’m going to let Kent talk about the impairment, I’ve got a plane to catch, so I hope you all forgive me for that and Kent will handle you well and so Kent will be in the chair best wishes to everybody and thanks for the staff for everything.
Kent Stanger: Yes, Jim. I’m glad you asked the question because I think it was nice to clarify. One, what we have is actually goodwill just to clarify, its other intangibles. So we have two issues and it’s on -- it’s the OsteoPro not Thomas. So the OsteoPro is an acquisition we made some months ago and it’s the forecast has been – this uptake has been slower. So we needed to adjust the contingent liability there is an offsetting thing, if we are going to get more complicated maybe some of you want it. But that you have a liability which is the present value of the royalties you’re going to be paying as part of the deal. So the good news is you don’t have to pay its not worth [indiscernible] as we had it as a liability on the books so we just reduced it. That triggers an valuation of the asset but that the intangibles you’re talking about know-how customer list and those kinds of things. So you have to reduce those down to what their fair market value is today as well in the process and the net of that was around $4 million adjustment. That’s what you see there as the one-time and you can see the two netted together. So those are part of operating expenses by GAAP but they are non-cash and there are one-time adjustment. And I’ll add one thing to that if you take those out and look at a normal GAAP number without that one-time thing you are at 19 - a little over $8 million and $0.19 a share. So I think that’s a kind of an interesting adjusted GAAP, its not non-GAAP but it’s a more normalized GAAP without that one-time or non-recurring expense.
Jim Sidoti - Sidoti & Company: All right. So basically what you’re saying is, since it didn’t hit the target you’re not going to pay as much royalty but you’re writing down the goodwill so net-net it’s a $2.3 million non-cash charge in P&L?
Kent Stanger: Right, okay. Yes, after tax, its $2.7 million.
Jim Sidoti - Sidoti & Company: Oh $2.7 million, okay. And then can you just remind me now what’s going on with the facilities in the third quarter, you finished the new one and you started to move into it, but will you still running the older facility in Utah?
Kent Stanger: No, we’ve moved out substantially all of the one across town, that’s five, six miles away. We had 60,000, 70,000 square feet, we just have six or seven units, we kept two and they are operating at a minimal level for storage and for some aging havens and so forth. So the overheads are much lower. So yes, we really through August so we are seeing one month where we’ve been able to share the majority of those overheads and going forward we will have a much smaller amount there and that will help to offset some of the increases we see from carrying the full facility in the cost of sales that we were referring to earlier.
Jim Sidoti - Sidoti & Company: Okay. And that older facility, is that something you own or is that something you would lease?
Kent Stanger: No, those were leased we are on month-to-month at the time we were finishing up and those are not on our expense list or our balance sheet, they never were.
Jim Sidoti - Sidoti & Company: All right. And then just, I’m not asking for 2014 numbers but looking at longer term Fred as mentioned goal of 50% gross margins and 20% SG&A, 7% R&D. So you think you can be 15%, 16% operating margin company at some point in the next five years. Is that what you are saying?
Kent Stanger: Yes, that is what we are saying. We believe we can work our way up to the mid double digits in that timeframe.
Jim Sidoti - Sidoti & Company: Okay, all right. Thank you.
Operator: Thank you. And our next question comes from the line of [ph] Gregory Macosko with [indiscernible] Advisors. Please go ahead.
Unidentified Analyst: Yes, thank you. Just one question, Kent. Just following up on the R&D with regard to the changes, there were some factors there. You are continuing to add people, is that correct?
Kent Stanger: We’ve added some in R&D this year is that what you’re saying, there is some headcount increases with now and right at the end of the year we added a whole group of people. So when you look at this year compared to last year you have that team as well as some adds through the organization in different locations, its not dramatic anymore, its been kind of leveled off a little bit recently but if there has been some, yes.
Unidentified Analyst: So sequentially you were basically stable at this point now?
Kent Stanger: More stable I think you might see some growth we’re talking about. One thing that we didn’t talk much about here is the ongoing trials for both BPH as well as the liver high quality trials. And those are ramping up a little bit, they are still not dramatically increasing but we expect to see some increased expenses of those. And then we’re going to continue to invest strategically in some of these product developments. So what we’ve been saying is, we want to keep it in the 7s for at least that core and that’s pretty stable as a percentage of sales, I would agree with that part.
Unidentified Analyst: Okay, very good. Thanks very much.
Operator: Thank you. And there are no further questions at this time. Please continue with any closing remarks.
Kent Stanger: Thank you very much. Well, I’m just excited again to reiterate what we already said that we’ve really seen insignificant gains not first on the top line, it was a great quarter for a third quarter for a second quarter to see the growth as broad based as it was. There were so many products because all of our really every geography if you will improve sequentially and gain momentum except for one. And they and so, that’s gratifying and I don’t want to over emphasize or get too far ahead of ourselves as far as what we expect. I don’t think we are going to 20% growth necessarily. But the fundamentals are strong, the top line is and every step down to the statements whether you look at margin – gross margin improvements, sales and administrative expenses as a percentage of sales, research and development, we are seeing leverage there. And even in the tax rates. And the only negative I suppose in the entire story is the higher interest costs that we have. But we are going to work those down too in a very few quarters both by covenant and by plan we are going to lower our interest rates as we lower the risk rate or the EBIT ratio. So overall, I think it was a great quarter. I think it was in many respects a record quarter for us. So I think we are set up to continue the progress in the future. So I thank you very much and we will sign off at this point.
Operator: And ladies and gentlemen that does conclude our conference for today. Thank you for your participation. You may now disconnect.